Operator: Good morning, ladies and gentlemen, welcome to Enagas financial results presentation for fiscal year 2022. Our results were released this morning before the opening bell and are available on our website at www.enagas.es. Arturo Gonzalo, Chief Executive Officer for Enagas, will be the main speaker of this conference, which we expect to last around 30 minutes. [Operator Instructions] Thank you very much for your attention. Now I will give the floor to the CEO.
Arturo Gonzalo: Good morning, ladies and gentlemen. Welcome, and thank you for your attention. Joining me today are our CFO, Luis Romero; the Legal Services and Corporate Affairs General Manager, Diego Trillo; the Communications, Public Affairs and Investor Relations, General Manager, Felisa Martin; the Investor Relations Manager, Cesar Garcia; and the Control and Business Analysis Manager, Natalia Morajel. It is precisely 1 year today since I joined Enagas as CEO, 12 months later, many developments have taken place that have changed many things we took for granted at the time. This presentation will cover 4 sections. First, I will present the results for fiscal year 2022. I will summarize the key financials and we give you some information on the operations Spanish gas system over the period. Secondly, I will review our progress in the implementation of our 2022-2030 strategy plan. Thirdly, I will share with targets we have set ourselves for 2023. And finally, I will reflect on a very important matter for us, that is our ESG commitment. In taking stock of 2022, I will not dwell on the extraordinary global context in which we have operated and done business over the period, as this is well known to all. As I have just mentioned, I joined Enagas 3 days before Russia's invasion of Ukraine. Since then, our sector has gone through very complicated months with Europe coming to an energy crossroads that has proved to be a watershed moment. Security of supply is now a priority for Europe, which has become aware of the need for a common European energy policy. The European Commission published its REPowerEU plan in May. And on July 12, Enagas presented its new 2022-2030 strategy plan, fully in line with the European road map and its security of supply and decarbonization objectives. Thanks to the responsiveness of Europe and the industry as a whole, coupled with the measures put in place, this winter Europe has managed to safeguard its energy security and to lay down a solid foundation for the future. 2022 was therefore a store year for Spain and also for Enagas due to the definancial contribution of the Spanish gas system to European security of supply as reflected some data that I would like to highlight. In a very tough context, we have operated at 100% capacity, both in terms of availability of our infrastructures and coordination of the gas system, which has met demand in all circumstances, 24 hours and 365 days. Spanish underground storage facilities reached 93% of their filling capacity at the beginning of the winter season and now still at extraordinarily high levels standing at 82% according to yesterday's data, thanks to the measures taken and the work be found by all of the stakeholders in the gas system. Spain increased its total gas exports by 90% compared to 2021. In particular, exports to Europe via the interconnections with France were an all-time high for the year and the refueling of LNG tankers at Spanish plants bound for other European countries increased by 45%. With regard to the evolution of gas demand year in fiscal 2022 and within European framework of energy efficiency and savings. Spain conventional consumption was 21.4% lower than in 2021, mainly due the measures adopted by the Spanish government and lower industrial consumption. Domestic gas demand plus exports to Europe that is the total volume of transported gas throughout our system rose by 4.4% year-on-year, chiefly as a result of an increase in gas demand for power generation in excess of 50%. This is an example of the important and unquestionable role of gas as a backup source for renewable energies in our country. Spain's solidarity and contribution to Europe's security of supply has been and continues to be possible, thanks to the robust infrastructure network of our gas system, which provides great diversification and flexibility. Regasification plants specifically enabled us to receive gas from 19 different sources in 2022. And for the United States, to become our number one supplier with a 29% over the total. Also, thanks to LNG plants, prices of natural gas in Spain were amongst the lowest in the European Union since the outbreak of the war in Ukraine and they have since allowed low for savings to the national energy bill of around €10 billion if we compare 2022 PTF and mid-gas prices, this amount, €10 billion, is more than twice the cost of the 6 terminals of our regasification plants in the system. I will now turn to the most important figures of our financial results for fiscal 2022. We have met all of the targets we had announced through a high level of deployment of our strategic plan since its presentation on July 12. Last year, we delivered an ordinary net profit of €375.8 million that's up-stripping the targets set early in the period. Let me remind you that this net profit target was between €380 million and €390 million but included net capital gains of approximately €40 million from the sale of our stake in Gasoducto Morelos in Mexico. Eventually, the deal was not closed in 2022, and it is planned to be closed in the first 4 months of 2023. As we have disclosed throughout the year, net profit includes capital gains from our asset rotation process and also the impairment in Tallgrass that we announced in July last year. I would like to highlight 3 significant factors that apart from these nonrecurring elements account for these results. The first one is the application of the current regulatory framework until 2026, which results in a reduction of our regulated revenue of around €45 million last year. The second, which is particularly important in the current circumstances, is a containment of recurrent operating expenses. Thanks to the implementation of our efficiency plan such expenses only increased by 4%, well below current inflation figures. By furthering this plan, we shall be able to maintain our recurrent cost base in 2023. That's reinforcing our commitment to cost control as stated under our strategy plan. And the third factor is the strong performance of our affiliates, whose contribution represents 39% of our net profit. One of the highlights of these results is the fact that we have slashed our net debt by 19% to €3.469 billion, and we have done so through a solid cash flow generation, the dividends received from our subsidiaries, our divestment from GNL Quintero, which has enabled us to repay debt denominated in dollars and through the high degree of utilization of our infrastructure, especially reclassification plans, which has led to increased revenue in the gas system and improved working capital at Enagas. Over 80% of our debt is set at a fixed rate. As a result, we can mitigate the impact of current interest rates and establish a very reliable estimate of Enagas' financial performance for the coming years. In addition, at the beginning of 2023, we signed agreements with 12 financial institutions for an extension until 2028 of maturity dates of our sustainable syndicated credit line of €1.55 billion, yet still maintaining our commitment to link our economic conditions to the fulfillment of environmental indicators. This transaction is in line with Enagas sustainability strategy. We also formalized a €450 million bank loan maturing in 2025 that enables us to face 2023 without any major refinancing. As for our affiliates in 2022 that reported a total result of €201.2 million and continue to contribute to the security of supply and the decarbonization of the countries where we operate. In Spain, the BBG and the gas plant operated to full capacity in line with the good performance of the Spanish plant as a whole. Enagas Renovable in turn has been one of the main beneficiaries of the strategic projects for economic recovery and transformation program, PERTE in Spanish, with the interim award of €25.6 million to 3 hydrogen projects. The aim is that throughout 2023, the first FIDs or financial investment decisions be taken. In Europe, we posted a record high gas demand of 7.5 BCM, our subsidiary, DESFA, the Greek TSO played a key role in this regard, especially through its Revithoussa LNG Terminal that covered more than 44% of the country's total imports. Trans Adriatic Pipeline remains instrumental in reducing Europe's dependence on Russian gas, especially in Italy, Bulgaria and Greece. Over the 2-year period since it became operational, this pipeline has already delivered 19 BCM of Azeri gas to Europe, of which 11 BCM were delivered in 2022. The project to expand its capacity continues to make progress. The market test launched in 2021 has led to the contracting of an additional 1.2 BCM of capacity as from 2026. And in September 2023, a second binding phase is scheduled to take place that could increase the pipeline capacity to 20 BCM. As you know, on January 26, Enagas increased its stake in TAP up to 20%. And this transaction reinforces our commitment to a key asset for Europe. TAP has become a very important investment for Enagas that will make an even more significant contribution to our income statement and future cash flows. In 2023, we expect to report as dividends of around €70 million. In Peru, our affiliate, TgP, has been key to meeting gas demand, which went up by 20% in 2022. As regards GSP, the arbitration proceedings have evolved as planned under the procedural timetable with the final award still pending. Legal advisers estimate that the ruling should be handed down during the first half of 2023. In Mexico, the TLA Altamira LNG plant provided 100% availability. And as I mentioned, we expect to close the sale of Gasoducto Morelos in the first 4 months of 2023. In the United States, Tallgrass Energy met its 2022 targets and delivered adjusted EBITDA of around USD 735 million. Its infrastructure showed a high level of contracting and utilization. The Rockies Express pipeline performed particularly well with an average contracted capacity in excess of 90% as did the Pony Express with a utilization rate of 84%. Tallgrass is cutting out an investment plan. And in 2022 it made major announcements to advance decarbonization with CO2 capture storage projects as well as large scale clean hydrogen and ammonia production and infrastructure facilities. A major milestone in January 2023 is its acquisition of the Ruby Pipeline, a natural extension of the Rockies Express that connects with the California market and that would support future progress decarbonized energy projects. This acquisition will boost Tallgrass growth significantly as of this year. In 2023, Tallgrass estimates an adjusted EBITDA between $775 million and $850 million, in line with the targets set out in its business plan until 2026. Next, I would like to give you an update on the degree of implementation of our 2022-2030 strategy plan. We have embedded European priorities into this plan, which is being deployed as planned and even faster than expected. As for our core business, I would like to underscore those initiatives included in the Spanish government's more energy security plan of, plan más de seguridad energética in Spanish. We have taken all the necessary steps to set up as an logistics plan. Everything is really in our size so that the plant becomes operational as soon as the final administrative formalities are completed. We have streamlined the capacity of our interconnection system with France via Rome. So now Spain can export an additional 1.5 BCM per year to Europe. Although a couple of weeks ago, there was an incident with the facilities electrical access system. We have since been able to continue to make demand as normal, and we're now working to restore the station's 100% availability as soon as possible. We expanded the Yeti at the Barcelona regasification plant so that smaller vessels bound for Italy can now reload LNG. Also in 2022, Enagas GTS designated as a transitional entity responsible for this system of guarantees of origin in Spain. A few weeks ago, the first milestone was reached as set out in the more energy security plan. Enagas GTS then launched a platform allowing hydrogen and biomethane producers to register. As for our asset rotation plan, which is aligned with our strategy to focus on Europe, it was implemented during 2022 as announced. Besides selling our stake in GNL Quintero in Chile and the current sale of Gasoducto Morelos in Mexico, which I have already mentioned, we also opened shareholding in our subsidiary, Enagas Renovable, to key partners. The Hy24 plant, Pontegadea and Navantia, our current ownership interest now stands at 60%. This asset rotation is enabling us to focus on Europe and to assess new opportunities. We have kicked off 2023 with a major transaction, that I have already described, the increase to 20% of our stake in TAP to which I referred yesterday, before buying 4% from which was added to the 16% stake that Enagas has held in the project since its inception. So this accounts for a total investment by Enagas of €168 million. More details on this transaction, which is fully in line with our strategy plan can be found in the presentation. TAP plays a key role in Europe, security of supply and decarbonization. And it is included in the European hydrogen backbone to become a hydrogen infrastructure as from 2040. We are working on several opportunities that are arising in Europe. One of them was the possibility of joining the BBL interconnector, which will ultimately not take place because the partners have decided to exercise their patent right and have advised us accordingly. The developments in the implementation of the strategy plan in the international arena and adjacent businesses include, in addition to the possible expansion of TAP, the agreement reached in October -- last October with the Albanian operator gas to potentially become a shareholder analyze joint projects in the country and in the Mediterranean area. And the startup of the first LNG bunkering vessel in which Enagas holds a share through our subsidiary, Scale Gas. This is also the first bunkering vessel build in Spain that we recently presented in Barcelona. 2022's major energy milestone for Spain and for Enagas was a historic agreement reached with Portugal and France, which was recently joined by Germany, as announced by the Spanish government, to develop H2MED, the first of the hyrogen corridors envisaged under REPowerEU. Upon the request of our respective governments, the TSOs of these 3 countries submitted the project on December 15 to the European Union's goal for projects of common interest. This corridor is scheduled for commissioning in 2030 and will transport 2 million tonnes of green hydrogen produced in Spain and Portugal to Europe, 10% of total consumption target for Europe set by REPowerEU. H2MED involves the development of a Spanish hydrogen backbone network, which Enagas also submitted to the PCI call on December 15. The total estimated gross investment in H2MED without considering potential European funding amounts to €2.5 billion, whereas investment in the Spanish hydrogen backbone network totaled €4.670 billion by 2030. These investments will take place mainly as from 2026 onwards. Yes, there's already a road map in place for them. At Enagas, we are working in full collaboration with the other TSO promoters. And some milestones included recent CEO's meeting in Madrid represented all 4 TSOs, and we expect to end 2023 with H2MED and the backbones of the Spanish hydrogen backbone network on the list of European PCIs. So we have provided detailed information on both projects at Enagas Hydrogen Day held on January 19. This event highlighted the commitment of Europe and Spain to the development of renewable hydrogen infrastructures and showed that Enagas role as a TSO is fully compatible and complementary with roll of an HNO. On Hydrogen Day, we announced that this year, we will launch the first nonbinding hydrogen supply-and-demand matching mechanisms in Spain. As you can see in the timeline included in the presentation, the binding plan is designed by the Spanish government will determine the following steps. 2023 will be a crucial year for the future of renewable hydrogen with significant milestones in space such as the upcoming update of the Integrated National Energy Climate Plan of PNIEC. And in Europe, it will be crucial as well with the approval of the list of PCIs and European legislation that is also expected to be advanced. Last week, for instance, the European Parliament reached an agreement on the gas and hydrogen directive and regulation and in addition, the Industrial Green Deal was announced by the European Commission. And all these will take place with Spain holding the EU presidency in the second half of the year. Let me now present our targets for fiscal 2023, which are challenging, but in line with this set out in the 2022-2030 strategy plan. We estimate an EBITDA of around €770 million. To this end, we shall continue to rigorously implement our efficiency plan, which will enable us to keep recurring operating costs stable in 2023 compared to 2022. Our debt structure with more than 80% set at a fixed rate, our liquidity position and the ability to face 2023 with our maturities will enable us to isolate our financial results from any interest rate fluctuations and estimate that it will stand at around €110 million. Net profit will be in the range of €310 million, €320 million, including net capital gains from the sale of our stake in Gasoducto Morelos, the contribution from TAP acquisitions and the assumptions made for the GSP ruling based on legal counsel considerations. This amount already includes the revenue drop established in the regulatory framework. In terms of cash generation, we expect a positive year with approximately €190 million to €200 million in dividends coming from our subsidiaries. We shall invest around €250 million over the period in key infrastructures for security of supply purposes and to boost decarbonization in Spain and Europe. This dividend and investment figures include our investment in TAP. We estimate year-end net debt to stand at €3.7 billion, a figure that is compatible with maintaining our FFO/DN ratio about 14% and our BBB rating with no need for credit remedies. And we remain committed to our dividend policy. We shall pay our shareholders €1.74 per share. Finally, I would like to refer to our ESG commitment, a cross-cutting element of our business that is perfectly ingrained in our strategy and culture. In the presentation, you have more details of some of our main achievements in 2022 regarding the 3 ESG pillars: environmental, social and governance. And there are 2 crosscutting achievements I would like to underscore: the integration of ESG risks into Enagas global risk model and our report on alignment with the European taxonomy of sustainable activities. We are leaders in the world's main sustainability indices. By way of example, I would like to mention that we have been included in the Dow Jones Sustainability Index for 15 consecutive years as one of the top performing companies in the gas utilities sector. We work with a long-term vision and in accordance with the sustainable development goals. In 2022 we aligned our sustainability and decarbonization strategy with a new strategic plan, setting 3 pillars that correspond to all 3 ESG areas. First, the decarbonization of our operations and our value chain with ambitious and rigorous objectives that will enable Enagas to be a carbon-neutral company by 2040. The second one is transformation with a people-centric approach, which includes targets such as reaching 35% of women in leadership positions by 2026. Diversity, agility and digitalization are some of the keys to the transformation plan we are committed to in order to adapt effectively to the challenges of our strategy plan. And the third pillar is governance to ensure human rights and environmental diligence with a focus on our supply chain and affiliates. In the course of this fiscal year, we are working on all such dimensions, focusing on initiatives that are set out in our 2023 sustainable management plan. Now in closing, let me point out at conclusions. We have met all of our targets in a very challenging year across the world, but particularly in Europe and in the energy sector. meeting such targets was possible to a large extent due to our commitment to controlling operating and financial expenses as set out in our strategy plan. In 2023, we shall further intensify our efficiency plan. We began 2023, standing on the strongest foundations to further realize our 2022-2030 strategy plan, which we are in fact executing faster than planned. We continue to fulfill our asset rotation plan, which is enabling us to harness new opportunities in Europe as a strategic focus area of our investment plan. Today, we have announced our targets for 2023 which are in line with those already announced in our strategic plan presentation. 2023 will be a crucial year for hydrogen. Its regulatory framework will be approved in Europe as well as Integrated National Energy and Climate Plan in Spain. At Enagas, we're working and we are ready to be a major player in the development of this energy vector, and we expect to close the year with H2MED and the Spanish hydrogen backbone network on the list of European projects of common interest. And finally, ESG engagement is a priority for this company and a cross-cutting element in everything we do. Thank you very much. And now we will be glad to answer any questions you may have.
Operator: [Operator Instructions] First question comes from Javier Suarez from Mediobanca.
Javier Suarez: I have several questions focused on the guidance for 2023 as set up in Slide 25 of your presentation. I was shocked by the company's goal to maintain without changes the operational costs, the recurrent operational costs at the times of high inflation. And you've given an EBITDA target of €770 million, even though I think it's €20 million higher than the consensus I believe it should be around that extra €750 million. That extra €20 million, I guess, it comes from the efficiency plan. I would like to know if you could explain and confirm what would be the sources from which you would obtain these efficiencies improvements or cost containment, which are very significant for this €20 million? So it will be very interesting to receive that. And the second question has to do with the dividends for the affiliates that you mentioned, you said between €190 million and €200 million. Could you please explain to us what are the dividends from the most important affiliate a breakdown of that figure would be very interesting and also as well as the other contribution to EBITDA of those equivalents equity companies? Regarding net debt, you talk up about €3.7 billion. I wonder if there's any specific working capital increase in that assumption? And the next question has to do with the dividend. The company is facing or we believe we'll have greater visibility in 2023, then the investments related to the hydrogen development in Europe. And I wonder when the company is going to do rethink or revisit that dividend policy? The old Enagas had less CapEx and therefore paid a dividend, which was higher. Do you believe that you may have to revisit your own capital because you'll have to face important investments probably from 2026 onwards? So any comment on that would be very welcome.
Arturo Gonzalo: Thank you very much. Thank you for your questions, Javier. I would start by answering your question on the expenses for 2023 and the impact EBITDA production. As I have mentioned, the company's key goal is to control operational costs and expenditures. We have shown that in 2022, as I have said, with an increase well below inflation. And in the year '23, we'll take 1 step further, and we will fully establish the operational costs in homogeneous terms and those being the recurrent expenses. We have operational cost of €374 million in 2022, including a nonrecurrent element, which was very important, which was the cost of the balance that took place during the financial year for €3.8 million on the divestment. The cost will be €371.8 million. But from those, we have to take out some nonrecurrent elements versus the previous year, especially the costs for the commissioning of El Musel, which are around €9.9 million. Therefore, in homogeneous terms, nonrecurrent terms when we compare to 2022, the OpEx in 2023 will be €365.2 million, which will, in fact, be slightly down from the €375.6 million of the previous year. So therefore, we continue to commit to the efficiency measures at all times and the result is that we will freeze the OpEx for 2023 versus 2022. This is, without a doubt, one of the reasons why we have an EBITDA as one we have presented. I would say this includes 3 facts: first, what I mentioned already, the cost control. There's also a good performance of revenues because we will include, for instance, revenues from El Musel, and also, there's an improvement on the affiliates contribution of about €10 million. I will ask the CFO in a minute to do the breakdown of the contribution from the affiliates. With regards to the debt expected for 2023 of €3.7 billion, we do not include there the working capital effect as we saw in 2022. We forecast we're very conservative -- from a very conservative perspective that the one-off event that took place in the gas system in 2022 will not be maintained, and we'll go back to a collection that will get back to normal as well as that from October onwards, you'll start seeing the impact of the toll reduction expected. And so this estimate of €3.7 billion of net debt, we are there considering a minus €50 million effect, so negative working capital to return to a more common revenue in terms of gas system revenues. With regard to the greater visibility of CapEx growth projects for the company and the effect that they could have on the balance sheet, I think greater visibility will take place when the list of PCIs is approved and published. This year, we will work so that the PCI list includes our main projects. It is true, as you say, that they entail a large investment, but they still have to certain questions such as the intensity of the public EU subsidies will have to be mentioned as well as the distribution of investments, not only amongst the 3 countries that have promoted the H2MED, but also a potential cost allocation to third parties, so other countries that will benefit from this infrastructure. So the key message is that we can look into 2023 with the full compliance of our credit metrics without the need of additional credit remedies, funding the expected investments of €250 million for this fiscal year. And therefore, we will be able to focus on specifying and detailing this growth plan, and therefore, we will not need this year to think of -- to revisit our balance sheet structure. Luis, if you could please complete the question?
Luis Romero: Well, thank you very much, Javier. In terms of the contribution of the international affiliates in terms of cash flow and dividends for the guidance of €190 million to €200 million the 3 companies that are contributing the most are TgP in Peru with €85 million, TAP with €70 million within the -- an extraordinary dividend of about €25 million and TLA with about €17 million. So those are the most important breakdown of the efficacy. If we look at EBITDA on the P&L, the expected results of these affiliates will be close to €180 million.
Operator: The next question comes from Fernando Garcia from RBC Capital Markets.
Fernando Garcia: I have 3. First, could you give me the effect of the cold snap that we had and the results on Tallgrass? Secondly, I would like to know the contribution of Ruby to EBITDA for '23 Tallgrass? And finally, could you talk about the dividend spending repatriation from Peru?
Arturo Gonzalo: Thank you very much, Fernando, for your questions. The adjusted EBITDA for '22 from Tallgrass was €735 million (sic) $735 million , and it includes I meant -- I said euros, I meant dollars and that adjusted EBITDA includes $8 million as an effect of the cold snap that you mentioned. The contribution of Ruby to the EBITDA of 2023 is approximately $70 million. And with regard to the cash pending repatriation from Peru, it amounts to USD 350 million.
Operator: The next question comes from José Ruiz from Barclays.
José Ruiz: I have 2 questions only. The first question, could you give us an estimate for gas demand growth in Spain for 2023? And secondly, could you give some ideas on the European market for 2023 regarding provisioning tensions? We've seen gas prices have fallen, but how do you expect the next winter to be?
Arturo Gonzalo: Thank you, José Ruiz. With regard to Spanish gas demand in 2023, the trends we are seeing are the following: strong recovery of the industrial gas demand, especially in the month of February Getting closer to gas consumption levels before this crisis took place. There is a recovery in all the industrial sectors, which is very significant, as I have said. Therefore, we estimate that versus 2022 conventional demand will grow. In our forecast, we are looking at growth of 11% of conventional gas demand up to 251 terawatts hour for gas consumption. However, in the electricity sector, we've seen a return to a normal hydropower year. And that -- if that is the case, it would mean that there will be a reduction on gas demand for power generation of 22% versus the previous year. And therefore, the consumption would be 109 terawatts hour. The combination of these 2 effects leads to a 2% gas reduction for natural gas in Spain to 359 terawatts hour. This is our estimates for the national gas demand in Spain. In the European market, cause I'm only going to make a qualitative comment. I believe that right now, we can say that Europe will conclude the winter the extraction campaign at comfortable levels in terms of the filling of underground tanks and storage units. We believe that there are enough energy or gas sources to reach next winter with filling levels, which will be reasonable. So the fear that we had in the past of a gas deficit this winter is totally overcome. And our concerns for the next winter are being given the performance of the underground storage units. There will obviously be an effect on the price when the injection campaign resumes, but we believe in terms of security of supply for Europe, we are in a more confident position not just for this winter, but also for next winter.
Operator: The next question comes from Javier Garrido from JPMorgan.
Javier Garrido: There's only 1 question pending from the presentation. You spoke about the agreement between Tallgrass. And I would like to know if you could give us some more color on to what would be the CapEx, expected CapEx for this change of use of trial blazer and what will be the contribution? And when will that contribution take place? And then in terms of the strategic perspective, I know you that this year is key in order to know what hydrogen projects will be included in the PCI list. But could you give us some details into your thoughts on the funding of those investments for the hydrogen backbone. And do you believe that financing will be with the company's current own resources? What do you think we will have to look further in the company's long term and whether you will be needed to go into new capital sources in the market? Could you give us your strategic opinion on the funding of hydrogen investments?
Arturo Gonzalo: Thank you, Javier. As for the first question, we cannot give greater color into that. What I could say is that we are hoping to have the FIT for Trailblazer this year. Once we have reached the volumes that will make it commercially interesting, we believe that will be the case. Once we have taken the FIT, then we'll be able to give more information about expected CapEx for the year and subsequent years. Regarding the investment of the hydrogen infrastructure, I would differentiate between the infrastructure for the Spanish hydrogen backbone. For this Spanish hydrogen backbone, the Ministry has announced that it believes there will be a subsequent further investment after the national plan for energy, the PNIEC, so we will be awaiting the government's decisions on the next steps. Regarding the international interconnections that account for a total of €2.5 billion, we are contemplating 4 financing possibilities. First, the direct EU funds that in the PCI in the connecting Europe facility for energy is between 30% and 50% of the total investment. Secondly, once the directive for renewable gases and hydrogen has been approved, we will be able to apply to these hydrogen infrastructures, the mechanism of cross-border cross-allocation so that the beneficiary countries will also participate on the financing that also be funding from the offtakers commitments with typical off seasons as we have -- open seasons as we have done for other translational infrastructures, such as TAP, and there will also be a contribution for the tolls and EUs of the infrastructures. We cannot yet give you a clear image of the breakdown between those 4 sources, but I can tell you that this will be an infrastructure for the service of the countries. So you will not be fully financed by the Spanish consumers. It will be then the time to update the company's strategy plan once we the final PCI list has been made public and once we have the clear image of the financing structures. And therefore, we will be then that we will connect it to the company's own financial structure. But that will be after receiving an answer and clarifying these aspects. Javier, thank you very much for your question.
Operator: Your next question comes from Ignacio Doménech from JB Capital.
Ignacio Doménech: I have 3. The first one is in Tallgrass. It seems that the estimates for 2023, we can see a growth a little bit higher than what you expected in the plan. So I wanted to know if we can see a dividend coming from Tallgrass for Enagas before 2026? And if greater growth than expected would allow for an accelerated sale of your stake in Tallgrass? Next question is about the credit rating. I would like to understand your opinion on the rating agencies and if they could become more flexible in the debt policies due to the strong investment plan expected for the second part of the decade due to this hydrogen infrastructures? Do you believe they will be more permissive on the credit ratings? And finally, with regards to the H2MED over the last few days, we've seen some reluctance from France. I would like to understand if anything has changed versus was presented on the Hydrogen Day in January? Any nuances on that?
Arturo Gonzalo: Thank you, Ignacio. With regard to Tallgrass, we believe that acquisitions such as Ruby demonstrate the potential for the value creation that the company and the asset has for Enagas. Today, Tallgrass has connection capacity from the Appalachian Mountains to the Pacific Coast, very few companies in the U.S. can do that. And that means that there'll be acquisitions such as Ruby that create a lot of added value for the company. We are not contemplating a return to the dividends before 2026. We keep our guidance of a dividend of €140 million from Tallgrass in 2026. Until then, we will continue using the company's own resources to finance its growth. What that also means is that we do not expect to give additional contributions to Tallgrass '22, '23 or '24. So no changes compared to what we said. Quite the opposite, we believe that, that transaction such as Ruby demonstrate the robustness of this growth project for Tallgrass and its ability to create value with this affiliate. With regards to the possibility of selling our stake there, I maintain what I said before, we believe this is a great company, a great asset, a value chain that is of great interest to us connected to the LNG supply to Europe, and this allows us to be present in decarbonization projects where maybe they are a bit ahead than the European projects. And a good example of this is Trailblazer. Also, as you know, the U.S. approved last year, the Inflation Reduction Act, which opens a great range of opportunities for energy transition and decarbonization projects. So therefore, our priority is to create value in this asset and with this stake, without losing sight that our strategic focus is in Europe. And therefore, in the long term, we do not consider that stake aspect to be strategic. With regards to the credit rating, we do not foresee, we do not need greater flexibility from the rating agencies. We keep our strong commitment and movable commitment to maintain BBB with FFO net debt of equal or higher than 14%. So we do not have any expectation for change there, and we do not need it. With regard to H2MED, I believe that the Spanish government has clarified any uncertainty on that topic. It's normal than that in EU agreements we need to include the interests and views of the different countries, and it's normal than in the European framework, we also give room for France's opinion on how they can serve their energy needs on their decarbonization road map. What the Spanish government has clearly stated is that this will not change at all the Spanish views or Spanish priorities and the fact that even though the nuclear hydrogen may be low in carbon, it's not a renewable hydrogen. And Spain will maintain its commitment with renewable hydrogen. We believe that it is good that the EU legislation clarifies these issues. It will be good to achieve majority of consensus and avoid blocking minorities that would give greater solidity to the EU legislation framework. What does has an effect on Enagas is obviously, we are working, and I can tell you this, clearly, we are working closely with our French and Portuguese TSOs, but especially with the French TSOs and what we do, as we normally do for linear infrastructures, is to say that the pipeline must be able to go in a bidirectional flow, but in the project presented by the 3 TSOs, the 2 French ones and Enagas, we stated and the only compression station will be in Barcelona and therefore, the project presented only includes our single direction flow from Barcelona to Marseille. But despite that, allow me to say that we are now at times of clarification that will lead to greater robustness within the EU agreement and a view that will be finally shared by you. Thank you.
Operator: Next question. There are no further questions in the Spanish room. So we are now moving to the English. Let's start with questions in English. The first question comes from Marcin Wojtal from Bank of America.
Marcin Wojtal: Yes. So firstly, can you remind us what is your strategy for your assets in Latin America, including Peru? Would you expect to eventually divest all of your Latin American exposure once you have sorted all these disputes in Peru? And my question number 2 is on your cost of debt, which increased but only very, very slightly in 2022. So can you give us some color on how did you avoid having a more significant increase in the cost of debt and where do you expect your cost of debt to be in 2023?
Arturo Gonzalo: Thank you, Marcin. Regarding our assets in Latin America, including Peru, I will say the same than I said before: in the long run, Latin America is not strategic for Enagas, but we don't expect to sell anything else than Gasoducto Morelos in the near future. We will create value in our assets. These are very good assets. TAP is a very good asset -- sorry, TGP is a very good asset, for instance. We will create value. And if it comes a moment in which the market is mature and we need those resources for funding other strategic investments, we could consider rotating those assets. But as I said, this is not expected in the near future and definitely it's not included in our budget for 2023. Our priority in Peru is, as you said, to finalize the legal issues we've got in the country and most importantly, having a positive award for the GSP arbitration this year and for TGP arbitration next year. We think it will be so. The opinion of our legal advisers clearly indicates so. So that's our priority, and we don't envisage any divestment in the near future. Talking about the cost of debt in the company. In December, we canceled $525 million of debt in U.S. dollars with the cash coming from the divestment of Quintero. After that, the maturities in 2023 are €478 million, most of it for the maturity of a bond of €400 million in March. To cover that in December, we contracted a bank loan with maturity in 2025 for €450 million with an approximate cost of 3.3%, in line with the strategic plan. So by the end of last year, 95% of our debt is already fixed until the end of 2023, with an average cost of 2.6%, 2.1% for our debt in euros and 4.7% for our debt in U.S. dollars. So our financial costs this year is very well fixed at around €110 million aligned with what we expected in the strategic plan. That's why we can also say very clearly that we will comply with our credit rating without needing additional credit remedies. Thank you very much.
Unidentified Company Representative: Thank you very much to the CEO. Thank you, Marcin, for your question. We are ready for the next one, please.
Operator: There are no more questions in English. I give the floor back to the management team.
Felisa Villan: Well, there have been no further questions, we would like to extend our appreciation to all of you for having joined us today. And please remember that the Investor Relations department, we are available to clarify any questions you might have. Thank you very much, and have a very nice day.